Operator: Welcome to the Jack Henry & Associates Third Quarter Fiscal Year 2022 Earnings Conference Call. [Operator Instructions]. I would now like to turn the conference over to Mr. Kevin Williams, Chief Financial Officer and Treasurer. Please go ahead.
Kevin Williams: Thanks, Tom. Good morning, and thank you for joining us for the Jack Henry & Associates Third Quarter Fiscal 2022 Earnings Call. I'm Kevin Williams, CFO and Treasurer. And on the call with me today is David Foss, Board Chair and CEO.  In just a minute, I will turn the call over to Dave, so he can provide some of his thoughts about the state of our business, financial and sales performance for the quarter, some comments regarding the industry in general and some other key initiatives that we have in place. Then after Dave concludes his comments, I will provide some additional thoughts and comments regarding the press release we put out yesterday after market close and also provide comments regarding our updated guidance for the remainder of our fiscal year 2022. We will then open the call -- open the lines up for Q&A.  First, I need to remind you that this call includes certain forward-looking statements, including remarks or responses to questions concerning future expectations, events, objectives, strategies, trends or results. Like any statement about the future, these are subject to a number of factors that could cause actual results or events to differ materially from those which we anticipate due to a number of risks and uncertainties. The company undertakes no obligation to update or revise these statements.  For a summary of these risk factors and additional information, please refer to yesterday's press release and the sections in our 10-K entitled Risk Factors and Forward-Looking Statements.  Also on this call, we will discuss certain non-GAAP financial measures, including non-GAAP revenue and non-GAAP operating income. The reconciliations for historical non-GAAP financial measures can be found in yesterday's press release.  With that, I'll now turn the call over to Dave.
David Foss: Thank you, Kevin. Good morning, everyone. We're very pleased to report another quarter of revenue and operating income growth and an overall solid performance by our business. As always, I'd like to begin today by thanking our associates for all the hard work and commitment that went into producing those results for our third fiscal quarter.  For Q3 of fiscal 2022, total revenue increased 10% for the quarter and increased 7% on a non-GAAP basis. As projected on our last call, deconversion fees were up more than $13 million over the prior year quarter.  Turning to the segments. We again had a good quarter in the core segment of our business. Revenue increased 12% for the quarter and increased by 7% on a non-GAAP basis. Our payments segment performed very well, posting a 10% increase in revenue this quarter and a 9% increase on a non-GAAP basis. We also had a strong quarter in our complementary solutions businesses, with a 10% increase in revenue this quarter and a 7% increase on a non-GAAP basis.  As I mentioned in the press release, our core sales teams again had an extremely solid quarter and we continue to see core activity consistent with our pre-pandemic run rate. During the quarter, we inked 14 competitive core takeaways, so we continue at the approximately 1 deal per week run rate I've discussed on recent calls. In addition to our success signing new core clients, we signed 9 existing on-prem core customers to move to our private cloud environment.  In addition to the tremendous success we experienced in our core business this quarter, we continued to sign new clients to our digital banking suite. During the third quarter, we signed 38 new clients to our Banno platform, and we continue to see increased interest in this offering as well as the rest of our digital suite.  On our last quarterly call, I mentioned that the sales team set an all-time sales booking record in our fiscal Q2. Although we didn't break that record in Q3, we did set a record for the strongest Q3 in history with sales bookings coming in almost 40% higher than the same quarter last year. This extraordinary sales performance in a quarter that is normally lighter than others is reflective of the interest in our company and demand for Jack Henry technology solutions in our market.  Regarding our Banno Digital suite, as of March 31, we have just over 7.1 million users live on the Banno Platform. We continue to enjoy the highest consumer rating in the App Store, and we are regularly recognized as the fastest application in the industry. As I've said before, I expect our success in this area to grow as we continue to add new functionality and features to the platform.  On our last quarterly call, I shared an announcement regarding our technology modernization strategy and how we believe it will help position our clients for greater success in the future. As many of you know, that announcement has been received very positively by many experts in our industry, and our strategy has been highlighted in a wide variety of publications. Several pieces are still in production, but so far, we've been interviewed for close to 40 different articles, podcast interviews and video podcasts for publications with a combined subscriber base of more than 53 million people.  Hopefully, you've all seen the new corporate sustainability report that we published on March 31. I think it's an excellent representation of the key initiatives and accomplishments we've been working on since we published our last report more than a year ago. In this new report, we provided more detail on the demographic makeup of our workforce, a summary of our employee engagement survey results, more information about our data privacy and cybersecurity practices and a significantly enhanced update on climate-related risks.  This year's report also includes an appendix with detailed disclosures aligned with the Sustainability Accounting Standards Board, or SASB, and the Task Force on Climate-related Financial Disclosure, or TCFD. We continue to make great strides in the key areas of ESG and are committed to providing more detailed information about our progress over time.  Although you regularly see Jack Henry recognized as the best place to work in various contests around the country, we received 2 new designations last quarter that recognize us as a company that isn't simply an outstanding employer. Inc. Magazine recognized us as one of America's best led companies and Newsweek recognized us as one of America's most responsible companies. Both awards are great recognition for our ongoing commitment to do the right thing for all of our Jack Henry stakeholders.  As we announced a few months ago, Ted Bilke will be retiring at the end of June after 17 years with our company. Ted ran the Symitar division for many years but shifted to become our Chief Technology Officer a few years ago to help us define and finalize our technology modernization strategy. Our modernization strategy benefited significantly from Ted's years of experience speaking directly with our customers about their technology wants and needs. I'd like to thank Ted for his many years of leadership and for helping us to drive consistent success for our customers and shareholders.  As you are also aware, we've been working to find a new CFO so Kevin can enjoy a much deserved retirement. That process has been slower than I had hoped, but we expect to name a new CFO in the near future. Kevin has graciously agreed to stay with us until we're ready to make the transition, so we still have no formal departure date for him.  Today, however, we're announcing that Renee Swearingen has been named Senior Vice President and Chief Accounting Officer for Jack Henry. Renee has been with the company for more than 25 years and is a key leader on our management team. You'll see a press release with this announcement later today, but I want to take this opportunity to congratulate Renee and thank her for her partnership for these many years.  As we look forward to the end of our fiscal year, our sales pipeline is very strong, and we continue to be optimistic about the strength of our technology solutions, our ability to deliver outstanding service to our customers, our ability to expand our customer relationships, the spending environment and our long-term prospects for success. I look forward to seeing and chatting with many of you at our Investor Day in Dallas next Monday.  With that, I'll turn it over to Kevin for some detail on the numbers.
Kevin Williams: Thanks, Dave. Our service and support revenue increased 11% in the third quarter of fiscal 2022 compared to the same quarter a year ago. As Dave mentioned, our deconversion revenue was up $13.1 million for the quarter compared to last year's quarter. License, hardware and implementation revenue combined were essentially flat compared to the prior year and our data processing hosting fees in our private and public cloud offerings, which continue to show strong growth in the quarter compared to previous year, growing by 11% for the quarter.  On a non-GAAP basis, total support and services revenue grew 6% for the quarter compared to the prior year. And just a reminder, that non-GAAP -- essentially the only difference is backing out the deconversion revenue that was recognized in the quarter.  Our processing revenue increased 9% in the third quarter of fiscal 2022 compared to the same quarter last year on both a GAAP and non-GAAP basis. The increase is primarily driven by higher card volumes and digital revenue continues to show strong growth as demand for our Banno Digital Platform continues to be very strong.  Total revenue was up 10% for the quarter compared to last year on a reported GAAP basis and increased 7% on a non-GAAP basis.  Cost of revenue was up 5% compared to last year's third quarter. The increase was primarily due to higher costs associated with customer maintenance and license costs, card and transaction processing increased in line with the related revenue growth and also higher personnel costs compared to a year ago.  Research and development expense increased 12% for the third quarter of fiscal 2022 compared to last year. The increase is primarily due to increased personnel costs this year compared to last.  And SG&A expense increased 13% in the third quarter compared to the same quarter of last year. Again, this increase was due primarily to increased personnel costs and also increased travel-related costs compared to the prior year.  Our reported consolidated operating margins increased from 21% last year to 23.3% in the current year quarter for a 220 bp increase. On a non-GAAP basis, our operating margins expanded from 20.3% last year to 20.9% this year for a 60 bps expansion. The effective tax rate for the third quarter of fiscal 2022 increased to 23.6% compared to 21.5% in the same quarter a year ago, which is in line with the guidance we've provided for the year.  Net income grew 19% to $84.7 million for the third fiscal quarter compared to $71.4 million last year with earnings per share of $1.16 for the current quarter compared to $0.95 last year, for a $0.21 or a 22% increase over the previous year quarter.  Some comments on cash flow. Our total amortization increased 2.6% for the year-to-date compared to last year due to capitalized software projects being placed in service. Included in total amortization is amortization of intangibles related to acquisitions, which decreased to $12.4 million this year-to-date compared to $13.3 million last year's first 3 quarters of the fiscal year. Depreciation actually decreased 3.7% compared to the first 9 months of the prior fiscal year.  Operating cash flow was $301.4 million for the year-to-date, which is up from $266.3 million last year, which this is primarily due to increased net income during the first 9 months compared to the previous year and the timing and change of various operating assets and liabilities considered in the calculation of operating cash flow.  We invested $145.1 million back into our company through CapEx, purchase and capitalized software.  Our free cash flow, which is operating cash flow less CapEx and cap software and then adding back net proceeds from disposal of assets was $156.4 million for the first 9 months of the fiscal year.  Also during the first 9 months, we spent $193.9 million to purchase 1.25 million shares for the treasury, none in the current quarter, and we paid dividends of $103.4 million for a total return to shareholders of $297.3 million in the first 9 months of fiscal 2022.  A couple of comments on our balance sheet. As of June 30, our cash position was $39.8 million compared to $70.1 million a year ago. Our revolver balance was $225 million compared to $200 million a year ago, which the change in cash and our debt balance is primarily related to the 4.1 million shares we've purchased in the last 24 months. Our return on average assets for the trailing 12 months was 16%, our return on average equity for the trailing months was 27.2% and our return on invested capital for the trailing 12 months was 23.4%, all very solid returns.  For updated guidance, in the press release yesterday, we provided both GAAP and non-GAAP revenue guidance. We also provided a reconciliation of GAAP to non-GAAP revenue in the release following the segment information. However, just to be clear, this guidance continues to assume that the country continues to open and the economy continues to improve.  For GAAP revenue growth for fiscal '22 based on the amounts in the release yesterday, our revenue guidance continues to reflect a little higher than 10% growth over fiscal '21, which we still anticipate deconversion revenue to be approximately $49 million to $50 million for the entire fiscal year. And as we thought, some of the Q4 actually pulled into Q3 so we are not anticipating very much deconversion revenue in Q4.  For non-GAAP revenue growth, we continue to guide to be just under 9% growth for the fiscal year.  We continue to anticipate GAAP and non-GAAP operating margins to improve a little in FY '22 compared to last year. But again, I continue to be somewhat cautious on guiding too much of a non-GAAP operating margin expansion as we continue to have headwinds on license and hardware revenue as we continue to move more core customers from on-premise to our private cloud. Also, our travel costs continued to increase significantly compared to the prior year. However, we are still comfortable that full year non-GAAP operating margins will expand approximately 50 bps or higher but also a reminder, the highest margin quarter is our Q1 due to software subscriptions in that quarter.  Our effective tax rate for the year continues to be projected to be slightly higher than 23% compared to the prior year rate. And our updated FY '22 GAAP EPS guidance is now a range of $4.80 to $4.85, which is an increase from the previous guidance of $4.75 to $4.80 a share.  That concludes our opening comments, and we are now ready to take questions. Tom, will you please open the call lines up for questions?
Operator: [Operator Instructions]. And our first question comes from Rayna Kumar with UBS.
Rayna Kumar: Good morning, David and Kevin. Your guidance to adjusted revenue growth will accelerate in fourth quarter versus the third quarter against more difficult comps. What gives you confidence that revenue growth is going to accelerate from here?
Kevin Williams: Well, Rayna, I mean as Dave mentioned, our sales continues to be very strong. Our pipeline is strong. And all of our primary drivers continue to hit on all cylinders, which is primarily our private cloud. We continue to have good movement of our on-prem customers' private cloud, our card and remittance and digital businesses all continue to grow extremely well. And so yes, we're very comfortable that we're going to have a little higher growth in Q4 compared to the previous year.
Rayna Kumar: Got it. And then can we have some early thoughts on FY '23 in terms of what you're seeing out there on demand and pricing and how that translates to revenue and margin opportunity?
Kevin Williams: Yes. So I mean, as far as the demand, I mean, Dave mentioned several times over his comments that we continue to see a very, very robust demand for our products in the sales organization with record sales in just about every quarter, for the last 3 quarters. So we look to be very good.  Pricing, I mean, obviously, this is a very mature market. I don't see much change in pricing, Rayna. And obviously, we're very early in our budget process for next year. But I'd just go out on a limb and say, I see no reason why we can't continue to grow top line, non-GAAP revenue in that 8.5% to 9% similar to this year for FY '23 and also get some leverage to the operating margin line on a non-GAAP basis of at least 50 bps or so. So I think FY '23, forget about the deconversion revenue because again, we can't predict that. But I think FY '23 is probably going to look a lot like FY '22.
Rayna Kumar: Got it. That's very helpful. And if I can sneak one final question in here. What are the key milestones we should be looking out for as you progress in your technology modernization strategy in the near term?
David Foss: Yes. Rayna, it's Dave. So we'll have releases this summer. So as I mentioned on the call last time, we have customers in beta right now. And so this summer, we'll announce customers going live, they'll come out of beta, they'll go live with the first module. So sometime this summer, I don't have an exact date to give you. But sometime this summer, you'll hear me talk about customers going live with the first modules on the new platform later this year, and we'll talk about this at the Investor Day on Monday. But later this year, we'll provide road map to our customers and to you all so you can kind of track our progress more specifically as far as things that we're planning to roll out.  But I think the first indicator for you will be this summer when we talk about customers going live with the first modules in the tech modernization strategy.
Operator: The next question comes from Kartik Mehta with Northcoast Research.
Kartik Mehta: Dave, I think both you and Kevin have talked about the strong demand environment and how well Jack Henry is doing. I'm wondering, are you running any capacity issues? I think, Kevin, you talked about maybe 8.5% to 9% in FY '23. If the demand continues, could you -- could revenue grow faster? Or are you at a point where now you have to push people out further?
David Foss: Yes. Well, so I would say neither. So is revenue going to grow faster, it might grow just a little bit faster. The thing you always have to keep in mind is almost everything we signed today is a hosted contracts. So it's a long-term commitment where we're layering revenue in as opposed to something that gives us a revenue pop in the quarter. And that just continues to be true. So almost all of the sales success are with contracts that are long-term commitments layered in over time.  But the -- as I mentioned a couple of calls ago, I think, we have -- we were facing capacity issues as far as doing core conversions. And so we stood up another team on the banking side of our business. So a few months ago, we did another team on the credit union side. Now we've done another one on the banking side. So we are slowly but surely adding teams to make sure that our backlog doesn't get stretched out with any of our product lines.  And so we're having good success in adding capacity as we need to add capacity so our customers don't get frustrated that they're looking at a year or 2 before they can go through a conversion. But it's a constant process of measuring what do we have in the backlog, what's customer expectation, what's coming from the sales pipe. And as I just mentioned, we've set an all-time sales record in Q2. Q3, normally a lighter sales quarter, 40% higher bookings than last year's Q3 and more than any other Q3 in history.  And so there is a great deal of demand, but we're -- our teams are doing well, I think, in managing the implementation side of that equation and making sure that we get these contracts into production at a reasonable rate.
Kartik Mehta: Kevin, you gave a little bit of a look into FY '23. You talked about maybe margins up around 50 basis points. And I'm wondering from an inflation standpoint, how much that might -- the margins are maybe being held back by some of the costs that you're having to assume because of inflation? Or are you able to push prices enough that the offset is negligible?
Kevin Williams: Yes, the offset is pretty negligible, Kartik. So I mean, yes, I mean there's some inflation impact primarily in personnel costs and especially in different areas and pockets within the company that we're going to be facing. I mean, obviously, if it wasn't for that and inflation, I'd probably predict that we could get more expansion than that. So there is some headwinds on the margin from those things, but at this point, and again, we're very early in the budget process, but I think we're pretty comfortable that we can get that margin expansion even in lieu of the inflation and everything else that's going on in the world today.
Operator: The next question comes from David Togut with Evercore ISI.
David Togut: Dave, could you give a little more detail on the new bookings? You called out 38 new Banno platform signings. I didn't hear you call out new core wins in the quarter.
David Foss: Yes, it was 14. So yes, I definitely called it out, 14 new core wins in the quarter. And I think 3 them were multibillion-dollar banks, if I remember correctly, but 14. So as I said in my opening statement, we are absolutely continuing on this run rate of 1 a week. Again, it's lumpy, but continuing to see great success. And as I sit here well into the fourth fiscal quarter, I can tell you that has not slowed down since the end of March.
David Togut: Got it. And Kevin, maybe you could just give a little more detail on the preliminary FY '23 guide. You called out an initial view of 8.5% to 9% non-GAAP revenue growth. Approximately, how might that break down at the segment level?
Kevin Williams: At the segment level, that's a good question. Obviously, our payment segment is going to continue to be the strongest grower. So payment segment is probably still going to be -- which our payment segment is now, David, 38% of our total revenue, and it's probably going to grow. Again, we're still early in the budget process, but I'm going to guess it's going to grow 9% to 10% and core and complementary will both be in there at 7% to 8.5% right behind it.
David Togut: Got it. Just a quick final question. Could you unpack kind of the 3 major subsegments within payments, bill pay, card and enterprise payments in terms of their growth in the March quarter? And how would you see them trending going forward?
Kevin Williams: Well, the strongest grower and has been for quite some time is our EPS line of business. And I don't see that slowing as we continue to add merchants. Even though the number of checks per merchant continues to decrease slightly, we continue to add more than enough merchants each quarter to continue to have that very strong growth in the mid-teens.  Right behind that is card. Now that we're a year past the migration of the new platform, we're adding a lot of new customers, both debit and full service credit. So that's going to continue to grow in the high single to low double digits. And then the slowest grower is online bill pay. I mean it's -- we've pretty much saturated the market. We've got 3,500 FIs on our online bill pay. So it's growing, but low single digits. I don't see any of those changing in FY '23, Dave.
Operator: The next question comes from Vasu Govil with KBW.
Vasundhara Govil: I guess first question, just the complementary segment growth. I thought it was a little bit lighter versus what we were expecting on a non-GAAP basis, a deceleration from last quarter. Just anything -- any call-outs on what products might have been a little bit weaker. I sort of got the comments on Banno still being pretty strong, but any other commentary on the other product suites and what you're expecting for the fourth quarter?
Kevin Williams: I don't know that there was anything significant that I would call out that impacted. It's more just a matter of timing of different revenue coming in, but there's no specific products or services that I would call out that was a drag.
Vasundhara Govil: Understood. And then on the sales booking, 40% growth, very impressive number. I got the comments on sort of the core and Banno wins. Any other areas sort of the composition of like where all the strength is coming from besides those two areas?
David Foss: No, Vasu, it's across the board. So Kevin highlighted that our EPS, Enterprise Payment Solutions business is growing nicely. We're signing a lot of contracts in that area. And I don't normally highlight it on this call, but that's one that was a little bit larger than the normal run rate this quarter. We had good success with our debit, signing new customers coming to our debit platform. Credit, we're continuing to add customers. It was just across the board, just a really solid performance from the sales team this quarter.
Vasundhara Govil: Understood. If I could sneak in a last one for you, Dave. It seems like the Director of CFPB made some comments to the banking industry recently about not enough competition in the industry, anticompetitive contracting practices. Just sort of any comments from you on how you would respond to that?
David Foss: Yes. So it's interesting, and I certainly have read through the script of the Director's comments and other follow-on presentations by other people in the CFPB. We're highly regulated at Jack Henry. And so we deal with the regulatory bodies regularly. CFPB has also been engaged with us as they've engaged with all the other players in our space.  The challenge that we have sometimes, I think, is that we get lumped in with everybody else. Jack Henry gets lumped in with everybody else as far as business practices. And I think Jack Henry has distinguished ourselves for years as doing business differently, very bank and credit union friendly, I think, in our approach.  And so I think if and when there is more request from the CFPB for us to be engaged with them, I think they will learn more about how Jack Henry does business and how it's different.  I'll say that we've been through this with ABA, for example, ABA, at one point was kind of lumping Jack Henry and with everybody else and saying, Jack Henry does things the same way. And then once we really got into those detailed discussions with the ABA committees, they realized and stated that we now recognize Jack Henry is doing things differently and is much more kind of supporting the community and regional financial institution environment with our business practices. So we're prepared if there is something that comes -- some requests that come of us to engage more directly.
Operator: The next question comes from Peter Heckmann with D.A. Davidson.
Peter Heckmann: I'm wondering, as you work with the Fed on the upcoming FedNow release, do you have any updated thoughts on real-time payments and maybe perhaps some of the first use cases that we'll see in the U.S. and how you think if that could change parts of your business? I know Jack Henry has been very innovative and kind of forward thinking in terms of real-time payments. But I'd be curious to see if you think that's going to be a big splash or a very gradual increase in volumes.
David Foss: Yes. It's a good question, Pete. It's one that we've continued to talk around about around here. In fact, I just talked the Fed governor from Kansas City is responsible for the FedNow program. And I talked to her just a month ago or so about the program and the status and are they going to hit their dates. And right now, they're mid-2023 -- calendar '23 for a release date. And right now, they're still on track to hit that release date, and we hope that happens.  With respect to real-time payments just in general, I want to emphasize again, Jack Henry today, more than 60% of the financial institutions in the U.S. who use the real-time payments network through the clearinghouse, so more than 60%, are Jack Henry customers. They're doing that through Jack Henry. So we are the dominant player today in real-time payments as far as number of financial institutions that are using the RTP network through the clearinghouse.  So we're very, very involved in RTP. Our PayCenter solution has been highly adopted. And of course, FedNow is supported in our PayCenter application at Jack Henry.  So when FedNow comes live, we're ready for it, obviously, because we've been working with the Fed for a long time. The pace of adoption is -- that's going to be interesting to see that -- When Zelle first rolled out, the thing that I said back years ago was as long as Zelle is kind of the really easy, fun-to-use application, it poses a real threat to Venmo. Well, it wasn't the easy, fun-to-use application, it's kind of a clunky application. But we all support it, those of us in the financial technology space, we support it. But it was never any real threat to Venmo because it's kind of a clunky application as far as I'm concerned.  Okay, what happens with FedNow? Is it going to be really user-friendly and kind of easy for people to adopt or not, we'll see. I think most banks and credit unions are planning to adopt and support FedNow. I hope it's a really easy-to-use application, and it will receive wide adoption because I think that will be good for us. We have a number of use cases that we've built out that we think will be really good for banks and credit unions to adopt, but it's got to be something that people want to use. You can't force them to use it.
Peter Heckmann: Definitely. And then any early thoughts on just kind of the revenue model or how the pricing of FedNow might compete -- compare to other existing real-time networks in the U.S. or same-day ACH?
David Foss: Yes. There's a lot of discussion on that topic right now. So I'm not going to predict publicly where that's going to end up because that's a real key to this whole equation is how does the Fed end up pricing and how competitive do they want to be as compared to other offerings out there. So I don't know where that's all going to end up, but that is a big topic of discussion right now.
Peter Heckmann: All right, we'll stay tuned. Appreciate it.
David Foss: Yes. You bet.
Operator: The next question comes from Dominick Gabriele with Oppenheimer.
Dominick Gabriele: Have you heard about rising tech talent costs putting an accelerant on your services for companies to outsource their core or other processes to the cloud? Is there an area of the business where rising wages would put a particular set of products in higher demand? And then I just have a follow-up.
David Foss: Yes. It's an interesting question, Dominick. In fact, it's something that I was just talking about this week with a couple of our customers and with -- internally with our team. So it's less about rising costs and more about banks and credit unions challenged to find the talent that they need.  So we all know the great resignation. We all talk about it that most companies are experiencing higher turnover than they normally experience and in a lot of cases, it's hard to find the talent you need. And banks and credit unions are experiencing the same thing. And so that is certainly creating some demand to come to companies like Jack Henry to provide services that we've done for a long time.  The interesting thing that's happening now is there are also more requests for us to provide more kind of back-office assistance, back-office guidance because they have lost talent in the back office for the bank or credit union. And that -- I can't decide if that's a blip or if it's a long-term opportunity that's going to create opportunities for us to sell more technology, more workflow technology as an example. You can use workflow technology when you don't have the people to do the manual work.  So we're trying to figure out if that's a short-term opportunity or a long-term opportunity. We don't really want to be in the business of being a consultant to body shop as far as consulting. We certainly do a lot of that, but that's not our core competency. We're a technology provider.  So we're trying to weigh all that and kind of figure out where is the opportunity and is it a short-term opportunity or a long-term opportunity. But it's certainly a topic.
Dominick Gabriele: Great, great. And then maybe just one more. Given the strong demand for your products and given the sales growth, do you think we're seeing not only just really strong execution given the strategy shift and the demand for your current products but also perhaps an accelerating overall banking and credit union industry tech demand for software leaving the pandemic on top of that? So we could see even higher than 9% revenue growth maybe in core.
David Foss: So I think we have built in -- so first of, on Monday at the Investor Day, I'm going to share with you some charts specific to industry projections. And I tend on these calls to share as surveys come out. I try to share with you all what we're hearing about demand in the industry generally. And so I'm going to give you some more information about that on Monday at the Investor Day.  But yes, definitely, the spending is up and the overall in the industry. Jack Henry is clearly a beneficiary of that, but that is baked into all the comments that Kevin made earlier about what we're looking at for FY '23, what we're experiencing today and what we're looking at for FY '23.  So that's not new news to us. We really started to see that being telegraphed to us with those first surveys that came out last September, I think, if I remember correctly. And everything we've seen since then has supported that idea. So we've baked that into everything that we're working on right now as far as budgets for FY '23.
Dominick Gabriele: Great. Excellent execution this quarter.
David Foss: Thank you, Dominick.
Operator: The next question comes from Dave Koning with Baird.
David Koning: Great job. And maybe if I could kick it off on the payment segment. David Togut kind of asked about the breakdown. But debit, I think, decelerated in general across the industry. So no surprise that you did a little bit. But what's kind of interesting, last year, yours accelerated a ton in Q4. And I actually don't know if that creates a tough comp for Q4 this year or if that was just a normalization, you could actually still grow 9%, 10% Q4 of this year. I just want to kind of understand that.
Kevin Williams: Well, a couple of things, Dave. So last year was a little more rapid growth coming out of COVID compared to the previous year. Because remember, the previous year, our Q4 was very weak, just like everybody else in the industry. So it is a little tougher comp. But with the backlog of sales that we're having, I still feel we're going to have some really solid growth in all of our lines of payments in Q4 compared to last year, even with a little tougher comps.
David Koning: Yes. That's what it looked like. No, that's great. And then secondly, there's a lot of like just comp issues for other companies that have either stimulus benefits or wallets that all kind of tie in with stimulus. You seem to have none of that, but is there actually almost a benefit that you get as we kind of went through this cycle where a lot of people got these wallets and cash app and all this stuff. And maybe come back now and say, okay, that worked for a little bit, but I just want to bank now that you might benefit from some consumer demand that way?
David Foss: That's a good question. I don't know -- I don't know that I could say, yes, that's happening or yes, we're going to benefit from that. I believe there is -- there has not been a slowdown in demand or interest in the services from our customers. We don't have customers that have lost a bunch of share or something like that as a result of these people experimenting with new applications or fintech-y type solutions. And so I don't know that I would say, oh, there's some big opportunity here because people will kind of revert back to working -- now that their bank or credit union has cooler technology, they're going to revert back to work primarily with the bank or credit union. I don't know that they stopped working with their bank or credit union.  And remember that we get paid on -- when it comes to our primary businesses, it's on number of customers that we're supporting, number of accounts, number of assets. And of course, there is the transaction volume. But since we're not an acquirer, we're an issuer, we normally are getting that anyway. So I don't think that I would want to hang my hat on that as a big opportunity, but I might be missing something.
Operator: The next question comes from John Davis with Raymond James.
John Davis: Kevin, I just want to start out on your preliminary outlook for the payments business or segment for next year, the 9% to 10%, and I realize it's really early. So I'm not trying to nail you down on this. But have you contemplated further kind of debit mix normalization in that? And are you guys seeing much of an impact at all from -- it's a little bit of a follow-up to Dave's question. Just credit becoming a bigger part of the mix as we kind of exit the pandemic?
Kevin Williams: We have not seen a lot of that, JD, but obviously, the other thing I would say is we are now offering full service credit, which we weren't even offering that a year ago. So even as it moves to credit, we've got that opportunity in front of us now. So I mean, I think we're going to see some shift from debit to credit. But so far, we've not seen much of an impact on our business.
John Davis: Okay. And then, Dave, maybe switching to capital allocation for a second. No buybacks in the quarter. You guys have a great currency. Thoughts on M&A as some of these valuations have come in. Should we read into anything with no buybacks this quarter despite, obviously, a very, very healthy balance sheet? Just any comments there would be helpful.
David Foss: So I've said in many forums here in the past few months that I'm pretty optimistic about calendar '22 as a year where Jack Henry can get back into the game as far as M&A is concerned. We say all the time that acquisitions are at the top of our list, always, we know that we're a good acquirer. We're a disciplined acquirer. We know how to integrate companies in well.  And so what I've said for the last several months is -- and you have several companies who went public last year and probably technically shouldn't have gone public, and now their valuation has dropped significantly. They have shareholders that are kind of wondering what the future looks like. And so there may be opportunity there.  But I think the greater opportunity is there are a lot of companies in our space, who were on the sidelines who were kind of prepping to go public given the frothiness of the market, and now that has all stopped. And so if you're running a nice little company and you're sitting on the sideline thinking you were going to IPO and now that is not going to happen and you're contemplating a capital raise or find a really nice strategic partner like Jack Henry, I think you would look seriously at talking to Jack Henry. So we are prepared for those opportunities, and I'm very hopeful that we're going to see some of those here this calendar year.
John Davis: Okay. And I'm going to squeeze one more in if I can. Just there's been a lot of talk amongst investors around CPI escalators in the industry just broadly. I think most management teams have kind of talked down the impact just given that there's caps. But obviously, with inflation running as hot as it is right now, just curious on how you guys think about CPI inflators or escalators? How material are they? Any color there would be helpful.
David Foss: Yes. So we do have CPI escalators and I always say virtually all of our contracts. Keeping in mind, we've acquired a lot of companies here over the last few years and some of those contracts are still in place. I can't say absolutely that every single contract has a CPI escalator opportunity, but virtually all of them have escalators.  We have already -- in several cases, we have deployed those already this year. We have others that are coming up with our annual billings that happen here now and next month, I guess it is or this month. So they are happening.  But the thing I always remind everybody, our business, our customers are bankers, they're banks and credit unions. They understand what's going on in the economy, right? They understand what's reasonable and what's not. And at Jack Henry, we've always taken the position that just because we could do X percent as a CPI accelerator, if that's not a reasonable number, we're not going to go up 2x.  And so we have taken a position that I think is reasonable. It supports the business model that we have. It's also been taken as reasonable by our customers. And so I think it offsets much of what we see happening in the market. But it's the approach that we're going to continue to take. We'll do reasonable escalations using the CPI opportunity where it makes sense.
Operator: The next question comes from Ken Suchoski with Autonomous Research.
Kenneth Suchoski: I want to ask about the fiscal 4Q margin guide. It looks like there's some implied margin pressure next quarter and we are estimating about 150 basis points year-over-year impact from lower deconversion fees, but I was thinking you'd have some margin expansion ex that impact. So maybe you could just -- can you give us your thoughts there on what's impacting the margin? And maybe you could also touch on the CapEx and expense expectations related to the next-gen tech strategy that you guys are pursuing?
Kevin Williams: Well, as far as Q4 margins, on a non-GAAP basis, we expect to have some slight margin expansion, probably not what we've seen in the first 3 quarters. But we expect to see some.  But you're right, there's going to be -- on a GAAP perspective, with only predicting that we're going to have $1 million or $2 million in deconversion fees compared to last year, there is going to be some margin pressure on a GAAP basis going forward in Q4. But overall, we feel like the margins on it, especially on a non-GAAP basis will still be strong.  I'll let Dave handle the CapEx on the new tech.
David Foss: So can you rephrase that part of the question, Ken?
Kenneth Suchoski: Yes. I was just wondering what type of CapEx that you guys are penciling in? And then anything on the expense side that you would expense to the P&L that you would have to make just to pursue this next-gen tech strategy?
David Foss: So keep in mind, we've been absorbing both the expense line and the CapEx line. We've been absorbing for more than 2.5 years, as I stressed on the last call. So this isn't something new. It's been baked into the P&L. You've -- the numbers have been flowing through the P&L for 2.5 years. We just never called it out as part of the P&L. And so that rate is going to continue essentially at the same rate.  I said on the last call, and I'll say it again, we're committed to 14% of revenue as an R&D investment that includes this technology modernization strategy. If you look back 5 years or so, you'll see us running at roughly 14% of revenue that we're putting back into R&D, and we're going to continue at that rate going forward, including this tech modernization strategy. So you won't see any great big spike in either the cap side of the equation or the P&L impact, direct expense side of the equation because of this strategy.
Kevin Williams: And this is very similar to everything we've done for years. This is not a big bang approach. As we get the various components done, like the ones that are in beta right now, those will be rolled out into production and the amortization will begin at that time. So it's not like we're going to wait until the whole thing is done in 10 years and then start expensing the whole thing. They will be rolled out as components go into general availability.
Kenneth Suchoski: Okay. That makes a lot of sense. And then the bookings were really strong in the quarter. Can you just talk about what's driving that sales success? I mean how much of that is driven by the offering you have in the overall environment versus something you're doing that's unique in your go-to-market strategy? And then maybe you could touch on the full service credit offering that you now have. I mean how are sales progressing there?
David Foss: Yes. So it's -- those aren't mutually exclusive. So you asked if it was -- what's going on in the industry or is it something specific that Jack Henry is doing, I would say it's both. The industry, the rising tide raises all boats, and that is definitely happening. The spend environment in our space has increased, has improved in the past year. So Jack Henry is definitely a beneficiary of that.  But I think the product mix that we have, all these new things that we've been rolling out here in the past couple of 3 years, and the announcement, and I alluded to this on the last call, and I'll just say it very specifically. Although we just publicly announced the tech modernization strategy on the last earnings call, we had taken customers under the cover with NDAs for several months. Customers who were thinking about, do I want to do business with Jack Henry? What does your future look like? If we sign with Jack Henry, where are you guys going as far as technology is concerned? We have taken customers under the covers for months before the public announcement. And so I think virtually every one of them that we took under the covers, they said we want to go with you guys because we see the future with Jack Henry.  So I think that is a unique piece. But pretty much everything else is the combination of the improved spending environment and then this recognition that Jack Henry has received broadly for doing a lot of innovative things, rolling out new products and really focusing on taking care of community and regional financial institutions in the United States. The fact that we're not -- we didn't pursue the merchant acquiring business, our customers know that we are focused on them and their success, and that's continuing to drive new opportunities for Jack Henry.
Kenneth Suchoski: Absolutely. And maybe I could sneak one more in. Just the free cash flow conversion, I mean, still a little bit below 100% on a trailing 12-month basis, but ticked up a little bit versus last quarter. Can you just provide your expectations on how you expect that to trend into fiscal year '23?
Kevin Williams: Well, I think it's going to trend back right at 100%, if not better. I mean, again, Ken, you got to remember, our Q4 and Q1 are our strongest free cash flow quarters because of the annual maintenance billings for all of our on-prem customers, which goes out the 1st of June. So our -- both our operating cash flow and especially free cash flow are the highest in Q4 and Q1.  And so a lot of that, if you look at a year-over-year basis, on a fiscal basis, some of that can depend on when we actually collect those fees from our customers, whether we collect in Q4 or Q1 because it's just a matter of timing on that. But on a trailing 12 months, we should be back up to the close to 100% conversion.
Operator: The next question comes from Charles Nabhan. [Operator Instructions].
Charles Nabhan: It's good to see the normalization in core wins over the past couple of quarters. And I know you alluded to a couple of multibillion-dollar banks in that 14 this quarter. But I'm curious, just looking back, would you say that the average size of the bank or credit union that you're winning is larger than it has been over the past couple of years? And secondly, if we think about the systems that those banks or credit unions may be running, could you speak to the nature of the systems that you're displacing within your takeaways?
David Foss: Sure, Chuck. And intuitive question on your part, I'll definitely tell you that. So absolutely, the size of institutions that we're winning has gone up, and in some cases, fairly significantly. We just had a -- our sales budget planning meeting was last week for preparing for FY '23.  So financial budgets, we're just starting, but you have to do the sales budget planning before you can do financial budgets. And that was a big topic of conversation with our sales leaders, so that in the past couple of years, the size of institution that we're winning overall has definitely gone up. And like I say, in some cases, fairly significantly. And so -- so that is absolutely true. And then what was the second half of your question, sorry? Or Kevin, do you have it? Chuck, would you repeat that?
Charles Nabhan: The types of systems that you're displacing, whether it's first gen, in-house, et cetera?
David Foss: Yes. So not -- we're certainly winning some in-house customers away, people who are running in-house on-prem today. But we are winning.  It's interesting. Most of our wins -- if you had asked me this question 2, 3 years ago, most of the wins would have been from competitors who are supporting older systems and their customers were frustrated because they weren't putting enough investment into these older systems.  Today, it's across the board. There are still lots of older systems out there where people are frustrated that they don't think there's enough investment, and we are winning those opportunities. But we're winning the flagship customers. So customers who are running the flagship solution from some of our competitors, we're winning those deals today as well.  So it's been an interesting shift, I think, because it used to be really difficult to displace somebody off of a flagship solution from one of our major competitors. And today, that's happening more than it did in the past.
Charles Nabhan: I guess as a follow-up, and I would think this is going to be a topic of conversation next week at the Analyst Day, but I wanted to get a little color around your product road map. And I guess, how you think about M&A versus organic product development? And secondly, whether you see -- whether that product road map is mainly focused on augmenting existing solutions or perhaps branching out into an area that you're not currently as deep in?
David Foss: Yes. So we -- if you look back at our company 15 years ago, we were doing a lot of M&A to bring innovative technology into the company. So we did -- there was 1 year we did 6 acquisitions in 1 year, all different products. In the past couple of years, it's been almost impossible to get a deal done because the valuations were crazy. And so we've focused heavily on organic development efforts.  But today and just before the pandemic, I think we were really good at doing the build-buy-partner analysis at Jack Henry. So when we see an opportunity, we won through this process. So do we build it ourselves? Is there something we could acquire? Or is there a partnership that makes the most sense for us to pursue. And I think we have a healthy balance of that today. And now with the environment changing a little bit as far as valuations, I think we can really get back into that mode again.  The challenge as far as our -- the good news and the bad news as far as our product portfolio is we don't have many holes in our product portfolio. It's not like we're desperate to go get a solution to fill a hole because customer demand is so strong. We're really pretty complete as far as our product suite. So most of the acquisitions we look at are things that would -- we can connect to something we already have and create that 1 plus 1 equals 3 type scenario for Jack Henry customers. And so we're always looking for those opportunities.  And then as far as the new development, we're creating new solutions regularly. We have a new fraud solution that's under development right now that we'll talk about a little bit on Monday. And that -- those efforts continue as well.  So it's a good healthy mix, I think, for our company today when it comes to what things do we acquire, what do we look at acquiring versus what things should we write ourselves.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I'll turn the conference back over to Mr. Kevin Williams for any closing remarks.
Kevin Williams: Thanks, Tom. Again, as Dave mentioned, we do look forward to hosting many of you on the call next Monday in Dallas at our Annual Investor Day, which is being held at the Hyatt DFW, Dallas Fort Worth Airport, beginning at 1:00 p.m. with registration beginning about 11:00 a.m. And again, after the presentations, we will have mini tech fair and show off some of, I think, 5 of our newer hardware products that are out there.  And with that, we are pleased with the results from our ongoing operations, and we are excited for the future. I want to thank all of our associates for the way they have handled these challenges by taking care of themselves and our customers and continue to work hard to improve our company to continue moving forward for the future. All of us at Jack Henry continue to focus on what is best for our customers and shareholders.  I want to thank you again for joining us today. And with that, Tom, will you please provide the replay number?
Operator: Yes. The phone number you dial is for United States toll-free 1-877-344-7529 and the United States local toll number being 1-412-317-0088. When prompted to enter a code, please enter 4203516. Again, that replay code is 4203516. Thank you all very much for attending. This conference has now concluded. You may now disconnect.